Operator: Good day, everyone, and welcome to the Aytu BioPharma Fiscal 2025 Q2 Earnings Call. At this time, all participants have been placed on a listen-only. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Robert Blum. Sir, the floor yours.
Robert Blum: All right. Thank you very much and good afternoon, everyone. As the operator indicated, during today's call, we will be discussing Aytu BioPharma's fiscal 2025 second quarter operational and financial results for the period ended December 31, 2024. Joining us on today's call is Aytu's Chief Executive Officer, Josh Disbrow; and Ryan Selhorn, the company's Chief Financial Officer. At the conclusion of today's prepared remarks, we will open the call for a question-and-answer session. I'd like to remind everyone that today's call is being recorded. A replay of today's call will be available by using the teleconference numbers and conference ID provided in the press release issued earlier today or by utilizing a link on the company's website under Events & Presentations. Finally, I'd also like to call to your attention the customary Safe Harbor disclosure regarding forward-looking information. The conference call today will contain certain looking statements, including statements regarding the goals, strategies, beliefs, expectations and future potential operating results of Aytu BioPharma. Although management believes these statements are reasonable based on estimates, assumptions, and projections as of today, these statements are not guarantees of future performance. Time-sensitive information may no longer be accurate at the time of any telephonic or webcast replay. Actual results may differ materially as a result of risks, uncertainties and other factors, including, not limited to, the factors set forth in the company's filings with the SEC. Aytu undertakes no obligation to update or revise any of these forward-looking statements. With that said, let me turn the call over to Josh Disbrow, Chief Executive Officer of Aytu BioPharma. Josh, please proceed.
Josh Disbrow: Thank you, Robert and welcome everyone. I'm pleased to be speaking with you again this quarter. During the second fiscal quarter, we successfully returned both our ADHD and pediatric portfolios to positive sequential prescription growth. The first such occurrence in which both portfolios exhibited sequential growth since late 2022. Our commercial team has done a great job navigating the various dynamics of the macro landscape for our addressable markets with our sales team increasing physician demand as we also drive improvement in payer coverage and broadened distribution and dispensing. And we're doing this while continuing to leverage the benefits of our first-in-class Aytu RxConnect platform. I'll touch more on both our ADHD and Pediatric market trends in a moment. This positive commercial momentum runs parallel to our corporate optimization initiatives, driving efficiencies within our operating structure with at least $2 million in future cost savings expected annually. This cost savings we recently announced is in addition to the significant OpEx reductions we're already realizing as a result of the transformation we have undergone in the last two years, inclusive of pausing pipeline spending, discontinuing our consumer health operations and exiting our manufacturing operations. Our focus going forward is on our profitable prescription business and leveraging the unique capabilities of our commercial infrastructure in the Aytu RxConnect platform, while also pursuing additional in-licensed or acquired products, I'll touch more on that as well momentarily. Even before the full realization of our optimization savings takes hold, we reported our seventh consecutive quarter of positive adjusted EBITDA and second consecutive quarter of net income. And we remain on track to drive the business to positive cash flows. In fact, our cash balance at the end of December was $20.4 million, which was up slightly from $20.1 million at the end of September. All told, I'm very pleased with the continued progress made during the second quarter and the outlook for the rest of the fiscal year. Let's jump into the script numbers, trends and outlook for each of our portfolio areas, starting with ADHD. For the quarter, scripts for the ADHD portfolio were slightly over 99,000, which compares to just under 99,000 in the first quarter and compared to 111,000 in Q2 of last year. From a top line perspective, ADHD net revenue was $13.8 million in Q2 compared to $15.3 million in Q1 fiscal 2025 and compared to $16.6 in Q2 of last year. We went into great detail last quarter discussing the commercial re-pickup we had that boosted ADHD net revenue. But I want to once again call this out as it highlights the improvement we saw during this quarter on an apples-to-apples net revenue basis. As you'll likely recall, last quarter, we resolved a multiyear rebate dispute with a payer over unauthorized commercial rebates on our ADHD products, which had previously reduced our net revenue in prior periods, and for which we have been carrying a gross to net accrual. We resolved that last quarter and the resolution resulted in a onetime increase in net revenue of $3.3 million during the first quarter and a reduction of that liability we've been carrying on our balance sheet for the past few years. If you back out the $3.3 million from Q1's net revenue, ADHD net revenue would have been $11.9 million. So, the $13.8 million we just reported in Q2 on approximately 99,000 scripts compares very favorably with $11.9 million in net revenue on also about 99,000 scripts in Q1. So our per script net price actually increased sequentially. ADHD net revenue was up 16% sequentially on an apples-to-apples basis, excluding a one-time item. This highlights an improvement in our gross to net, which given our business model is somewhat to be expected heading into the final quarter of the calendar year. Looking more broadly at the ADHD stimulant market, we continue to see conditions returning to a more normalized state following the series of significant market-wide stimulant shortages commencing in early 2023 and that impacted the supply of products like Adzenys XR and other ADHD stimulant meds. As I've discussed, fortunately, Aytu supply was never impacted and we, therefore, realize some short-term and long-term benefits from the shortages others were facing. With the market more normalized, the short-term benefit we had has made the comps a bit difficult on a year-over-year basis. But as I mentioned a moment ago, the sequential trends are once again quite positive and we are above the base levels from just a few years ago as many patients that were moved over to Adzenys or Cotempla have stayed on longer term. I'll transition now over to the Pediatric Portfolio. As we've communicated for the last few quarters, within Pediatrics, we were impacted by a variety of payer changes. Initially, we saw the impact when a large payer stop covering a big portion of Pediatric multivitamins affecting the entire multivitamin class. This was exacerbated further as we had some fairly concentrated dispensing areas where this payer has a large market share. Our antihistamine was affected similarly by a payer change in an area where we had a pretty significant concentration of prescribers with that product largely covered by Medicaid. Fast forward, we've been focused on diversifying the prescriber base and improving payer coverage for both franchises, multivitamins, as well as with our antihistamine franchise. In particular, we've focused on expanding areas of promotion, diversifying our base of dispensing pharmacies and bringing on several state Medicaid plans that we hadn’t had covering our products before. So as opposed to having all of our eggs in the proverbial one or two baskets, we are in many more states today that are covering our products, and this improvement has largely occurred over just the last six or so months. With that, Q2, is really the first quarter that we started to realize the benefits of this improved coverage and access with materially better public and commercial coverage for our Pediatric brands. We've also deployed sales representatives and shifted resources to our Pediatric products. Previously, Pediatric sales were conducted with a much smaller group of sales specialists that focused on promoting these products. We've now shifted our sales force's product mix, providing for better balance and more impactful product penetration and specifically with increased emphasis on the Pediatric products across much of the sales force. As you saw in the press release, we're seeing dividends already and are very encouraged by our latest Rx and net revenue trends. During Q2, Pediatric portfolio net revenue was up 86% sequentially as scripts increased materially. We're not yet back to where we were a few years ago, but I'm pleased with the positive trends over the last two quarters and a $10 million annualized run rate for these products when you look at this current quarter. We're continuing to see good momentum as we again implement on our three key strategies: improve coverage, diversify the base of fee prescribers and diversify and increase the promotional footprint with the sales force. More broadly, we remain focused on continuing to leverage our flagship best-in-class patient access platform, Aytu RxConnect, which we believe is a significant differentiator for the company and one that enables us to stand apart from the competition and truly benefit patients. Indulge me for just a moment to hop on my Healthcare ecosystem, soapbox here. In today's healthcare environment, it's simply not enough as a pharmaceutical company to go to a prescriber and offer better clinical solution. You've got to solve the entire problem for the patient, which of course, includes the clinical benefits, but you absolutely have to solve for the pervasive payer access challenges, that impact patients, pharmacies and physicians alike. Patients today can walk into a neighborhood, Walgreens, CVS or Walmart and frankly, have no idea whether they're going to get the product that they were prescribed, if it is going to be received in a timely manner and if and when they can get it, what price they're going to pay when it comes to an out-the-door all-in cash pay, whether that's in the form of a co-pay, whether they're paying cash or whatever the case might be. The US Pharmaceutical Distribution and Payment System is very opaque. The market lacks transparency and consistency, and that's where Aytu RxConnect comes in. This is a proprietary soup to nuts, so to speak, top-to-bottom program that we've developed in-house here at Aytu. Its value-add, protects the dispensing pharmacy, provides confidence to the prescriber, caps patient cash outlays and reduces their hassles and ultimately allows patients to get that branded prescription at an affordable, predictable price. RxConnect involves, among other things, a network of about 1,000 pharmacies with whom we work around the country. Most of these are independent pharmacies in local geographies that do an excellent job for patients and prescribers and are often well established and well recognized in the respective communities. They're small businesses that work very hard to serve patients well and go above and beyond and deliver high levels of service for patients. The other part of our network is two regional grocery chains that are very customer-centric, provide excellent service and work directly with us to adequate stocking of our products and to make them more available. So as mentioned, when we sell our products, we obviously sell physicians on the benefits they offer their patients from a clinical standpoint, and then equal parts tell them that if they will send these prescriptions to one of these partner pharmacies, they will get the full benefits of RxConnect, which include everything up to, including a co-pay, not to exceed $50 for patients that are commercially insured and when covered, the co-pay, by the way, is often $0. We essentially underwrite the prescription in cases where it's not covered or there's a step edit or a prior authorization that may prevent access. And even in cases where there is a prior authorization, our partners can help obtain that okay, thus taking much of that burden off the physician’s office. This helps the patient first and foremost, get the product they were prescribed at a price that's predictable affordable. It also helps physicians know that their patient is getting the prescription as prescribed and on time. As a reminder, these are products that you're going to take routinely, month after month for many, many years, potentially for the rest of your life. o it solves this significant issue today where you can walk into your chain pharmacy. And next month, you may pay a different price than you paid this month, and that's the way CBMs have designed it to be opaque and to make it very challenging for patients. And so with RxConnect, we have freed up physicians to prescribe our brands without fear of the dreaded callback from a pharmacy saying either we don't have it, we can't get it or even worse, the parent of a patient calling back saying that was ridiculous, crazy high co-pay that was way beyond what I expected or my means. We cut through all of that. For the first time with RXConnect, we have put the prescribing power back into the hands of the physicians and the patients. And that's why with RXConnect, we believe at Aytu, we can succeed. And for us, success is winning for prescribers, for patients and for pharmacies alike. And that's what we're working to achieve for these stakeholders every single day. The Aytu RXConnect program develops our products really is the game changer that enables these products to stay in the part. And we think this will be a key differentiator as we look to the future of our ADHD franchise, our Pediatric franchise and dovetails into what the future of Aytu has the ability to look like. On that note, as we look at the mid and long term, we first and foremost need to focus on the continued organic growth of our ADHD and Pediatric portfolios, and cost containment initiatives with the goal of driving towards our goal of positive cash flows. Beyond that, we also expect inorganic growth, understanding that Aytu has been built through a series of strategic transactions. Throughout our history, we have shown that we are adept at identifying smallest yet valuable assets that maybe don't fit at a particular organization and have become non-strategic. So we see tremendous opportunity to leverage our infrastructure capabilities and expertise and to diversify our portfolio by in-licensing or acquiring assets like these. Of course, we'll be smart about it and look to pick these assets up as attractively as possible. For now, the appetite is for smallish tuck-in assets that we that we can bolt on and fit within our commercial footprint in our low cost. And then hopefully, as generate free cash flows, we can also start to look at incrementally larger opportunities in the not-too-distant future as well. Ultimately, our goal in this area is to continue to bolster the portfolio, diversify the revenue base further and allow us to continue to leverage our high-performing commercial infrastructure. Let me now turn the call over to Ryan to review the financials in more details, after which I'll provide a few closing comments, and we can take your questions. Ryan?
Ryan Selhorn: Thank you, Josh. Before we look at the numbers, I want to try give a big picture overview of where the company stands financially as we go through the calendar 2025 and are more than halfway through our fiscal 2025 year. The company has made huge strides both operationally financially in the last few years, but it's still a bit difficult to see our progress because of some of the lingering noise. So if you indulge me as well, I would like to remind our stockholders and listeners of our achievements over the last few years and provide a glimpse of where we think we can go in the not-too-distant future. To get to this point, we shuttered our Clinical Development program, saving $20 million to $30 million in R&D expenditures. We powered down and ultimately sold off our cash assuming consumer health business, we spent over two years methodically working through the regulatory processes, demonstrating bioequivalence of our ADHD brands and ultimately, outsourcing the manufacture of these products from our underutilized and expensive Grand Prairie Facility. And in conjunction with these things, we continue to cut overhead while still investing in the growth of our business. If you look back just two years ago for the six months ended December 31, 2022, we incurred $15.3 million in G&A expenses and today have reported $9.6 million for the same period in fiscal 2025, a reduction of 37%. Additionally, we incurred sales and marketing expenses for the six months ended December 31, 2022, of $20.7 million compared with the current six-month period of $10.9 million, or a 47% reduction for a combined reduction of $15.5 million or approximately $31 million annualized. This represents a reduction across SG&A of 43% on an annualized basis. These strategic changes allowed us to generate positive adjusted EBITDA and keep our cash levels steady, providing us with flexibility and optionality. More importantly, as Josh meant these changes have teed us up both to grow and ultimately generate free cash flows. The noise I mentioned a moment ago includes things like working through higher cost ADHD inventory manufactured at our now shuttered Grand Prairie Facility, onetime restructuring expenses related to our optimization, accounting reclassifications and the reinvigoration of our Pediatric Rx business. As we continue to work through these items over the next few quarters, our expectations are that we will see ADHD sales once again rise with the market growth. The Pediatric sales regain lost sales build out revenue in new territories. The gross profit margins continue to improve toward the low to mid-70% range and see operating margins reflect our reduced headcount, leaner management structure and outsourced manufacturing. Let's now move to the numbers. And please note that our second fiscal quarter financial results are detailed in both our press release and Q2 fiscal 2025 Form 10-Q that we issued earlier today. Our second quarter net revenue was $16.2 million, down from $18.7 million in the year ago second fiscal quarter. The ADHD portfolio net revenue decreased 17% to $13.8 million versus $16.6 million in Q2 fiscal 2024, reflecting normalization of the ADHD stimulant supply chain following market shortages through much of the fiscal 2024. On a sequential basis as Josh touched on, excluding the payer resolution we entered into last quarter, which resulted in a onetime increase in our fiscal 2025 net revenue of $3.3 million, ADHD net revenue increased 16% sequentially. On the Pediatric side, net revenue was $2.4 million versus $2.1 million in Q2 of last year. As Josh noted, we are pleased with our Pediatric results, which showed a rebound year-over-year. I will also note that the sequential quarterly numbers are up approximately 86%. This pediatric net revenue improvement demonstrates the continued rebound of the product group from the year ago comparable quarter when the payer changes that impacted scripts began. The turnaround was first visible last quarter as the sales and marketing programs we implemented and its team reflected with the recapture of lost share and our expansion into new geographies. Gross margin for the second quarter was 66% compared to 78% in Q2 of last year. As I noted last quarter and just a moment, the outsourcing of production out of Grand Prairie to a contract manufacturer is creating noise in the current quarter gross margin, which will more likely continue for the next several quarters. As a reminder, as a part of the switch to contract manufacturing, we needed to reduce our in-house production while simultaneously ramping up ADHD production at the contract manufacturer. Unfortunately, this type of manufacturing handoff decreases gross margin on ADHD inventory manufactured in Grand Prairie as fewer units that were manufactured and therefore, fewer units had to bear greater amounts of facility and associated overhead costs. Thus, the higher inventory costs now moving through the channel reflect the planned underutilization of Grand Prairie Facility as we transition ADHD product manufacturing from inside to outside sourcing. We anticipate incurring the higher cost of sales until we have sold through this higher cost internally manufactured product. This process is expected to be completed in the coming quarters and the more normalized gross margin should be evident going forward. In addition, we expect gross margins to benefit from the rebound in Pediatric sales, which traditionally have carried the highest margins in our product mix. Looking at the quarter's operating expenses, excluding amortization of intangible assets and restructuring costs, we were down slightly to $10.2 million from $10.5 million last year. The decreased operating expenses, is a result of the continued cost reduction efforts and the improved operational efficiencies we have discussed. Please remember that the OpEx number, I just mentioned from a year ago excludes this Consumer Health business as it has been moved to discontinued operations. If you were to look at the actual OpEx from the year ago quarter, the savings are even more pronounced. Put differently, looking at just the G&A on a trailing 12-month basis, excluding the Consumer Health business, we have enacted over $7 million in savings. On the sales and marketing side, it is an additional $2.5 million for a total of $9.5 million in real savings, which ultimately lowers our revenue breakeven level substantially. Net income for the second quarter of fiscal 2025 was $0.8 million or $0.13 net income per share basic and $0.26 net loss per share diluted, compared to a net loss of $0.2 million or $0.04 net loss per share basic and diluted in the prior year period. Fiscal 2025 second quarter results were impacted by a $3 million of derivative warrant liability gains due primarily to the decrease in the company's stock price compared to a derivative warrant liability loss of $0.6 million in this quarter of fiscal 2024. For the quarter, our adjusted EBITDA was a positive $1.3 million against last year's quarter of $5.5 million. A major change here is the impact from the gross margins discussed due to the exit of the manufacturing facility as well as the decrease in the ADHD net revenue. A full reconciliation of adjusted EBITDA is included in the press release. Turning now to the balance sheet. Cash and cash equivalents at December 31, 2024 were $20.4 million compared to $20.1 million at September 30, 2024. We continue to maintain our receivables at a healthy level, while we look to optimize our inventories via the timely deliveries from our various outsourced manufacturers. On the liability side of the ledger, we are in full compliance with all our debt covenants. Also, as a reminder, our term note amortizes monthly. So we continue to pay down our outstanding principal balance, which has decreased to $12.1 million as of December 31, 2024. As we have commented on periodically, our businesses gross margin percentages can and do vary due to both seasonal and other factors. I want to remind all listeners that while we are reviewing the second fiscal quarter 2025 results, we are currently operating in the third fiscal quarter, which, of course, began January 1 with the new calendar year. Many, if not most plan participants today as well as the consumers of our products or their parents have had their annual insurance deductibles reset starting at the beginning of the new year. As such, we expect to experience a greater use of our Aytu RxConnect Price Protection program in Q3 fiscal 2025, which historically lowers our gross to net margin. Please remember that this value add is part of our normal seasonality and part of our business model. And those gross to net adjustments improved throughout the calendar year as families meet their deductibles and our need to provide the out-of-pocket backstop subsidies decreases. With that, let me turn it back over to Josh.
Josh Disbrow: Thanks Ryan. Let me just wrap things up by saying that we have successfully implemented a multiyear strategic realignment to focus on our profitable prescription business and leverage the unique capabilities of the now streamlined organization. These changes have resulted in the growth of our novel commercialized prescription therapeutics, while also driving positive adjusted EBITDA and approaching profitability. With positive operational trends in place, we remain focused on seeking opportunities to leverage our commercial infrastructure in the Aytu RxConnect platform, while we pursue additional in-licensed or acquired products. We continue to expect net revenue and adjusted EBITDA growth from current levels as we strive for positive cash flows. I'm pleased with the significant progress made and look forward to the continued execution of our strategy in the quarters and years come. As always, I'd like to thank the team at Aytu for their hard work and dedication and delivering for both patients and for stockholders. I'm very proud of the progress that we've made collectively. With that, thanks to everyone participating on today's call. We'll now be happy to answer any questions.
Operator: Certainly. Everyone at this time, we will be conducting a question-and-answer session. [Operator Instructions] Your first question is coming from Naz Rahman from Maxim Group. Your line is live.
Naz Rahman: Hi everyone. Congrats on the on the quarter and thanks for taking our questions. I had a few, first to start the ADHD franchise. So it looks like franchise on a quarterly basis has been hovering around this like $14 million to $15 million quarterly rate for the last several quarters and see how the [indiscernible] shortage or the fact that shortages are ameliorating. So, what do you think the franchise to return generating like $16 million, $17 million anytime soon? And sort of what do you think it's like the pathway or the strategy to get there?
Josh Disbrow: Yes. Thanks, Naz, for your question, and I appreciate you being on. We absolutely anticipate growth and the notion of $16 million to $17 million a quarter we think is very feasible. Certainly, there has been some regression to the mean, so to speak, as market has normalized. But if we just keep up with market growth and gain any share, we'll be back into kind of that $16 million to $17 million range. So, confident about that and equally confident about the pediatric products continuing to grow and get back significantly closer to where they were prior to some of the payer changes.
Naz Rahman: Got it. That was helpful. And on the Pediatric business, a few questions here. The first one is so obviously, you're seeing growth again in the Ped business, but were there any one-time effects in the second quarter or any outsized orders or any outsized effects you saw in the second quarter? And in terms of products, which product did you see have the largest impact in the quarter?
Josh Disbrow: Yes, good question. No one-time effects. This is organic. We can look at prescription growth that corresponds pretty well with our net revenue increases, some variability in gross to net, as you know, just based on seasonality and various factors. So, yes, we're seeing good old-fashioned organic growth as a result of these initiatives that we put into place. And in terms of the largest driver of that, the antihistamine franchise is the largest driver of the growth. In fact, when you look at carbonol, for example, it's at the highest level of prescription since all the way back in Q2 of 2024. So essentially the better part of the year plus the carbonol franchise has not seen that. Pediatric multivitamins, we believe, have certainly bottomed out and while they haven't grown back to where we'd like them to be, certainly think we've seen bottom and have started to kind of move back up. But yeah, carbonate is driving most of that growth back.
Naz Rahman: Got it. And on the -- continuing on the ped, I think -- I believe -- in your prepared remarks, you said you expanded coverage including state coverage. Could talk a little bit about the dynamics in terms of Medicaid coverage in different states? And are you seeing, I guess, the same levels of reimbursement or different types of frictions and all the additional states you expanded to and how you're working through that process?
Josh Disbrow: Yeah, happy to. When we say we picked up coverage, we have picked it up on a pretty broad-based sense. Certainly commercial as well. And when you look at the state payers, the dynamics are distinct, but we don't actively seek state-level contracts. We had a national CMS rebate agreement as most companies have. And based on just some of the strategies we've employed, we've been able to get relatively broad-based coverage. Each state kind of makes their own decision in the context of what products they pick up, how they treat brands, how they monitor and manage those. And what I'll say, prior to the payer change, our Medicaid coverage was relatively limited and very concentrated in really just a couple of states where we concentrated most of our sales efforts. Following some of these changes that we put into place we have multiplied the coverage in the number of states that have the antihistamine franchise now covered. And in terms of the rebates, in terms of the percentage of deductions back to the states, they're all the same essentially. So we don't have any supplemental rebates in place with any particular state that drives the gross to nets down. And so we're able to actually have pretty healthy margins on that Medicaid reimbursed business. And the fact that we have diversified so much more, we're in so many more states now than two, we really are significantly less reliant on any one state continuing to cover it at the same way. When I mean that -- when I say that, I mean covering it without, say, a prior authorization, which is often the case with brands and in a good handful of states, we have open coverage without any requirements for step edits or prior authorization. So excited about that. We're really just beginning to scratch the surface in some of the states where we hadn't been before. As I mentioned in my prepared remarks, we've shifted some resources. We put sales representatives into states where, again, we picked up coverage, we added the antihistamine franchise into their what we call POA, Plan of Action such that they are now responsible for promoting carbonol. And I think we're at the early stages. Frankly, this growth is coming at a time when we're out of out of season. We're not even out of winter yet. So we expect good things as we head into the spring allergy season.
Naz Rahman: Got it. That was helpful. During prepared remarks, I believe you said you expect to have an additional $2 million in cost savings. I just want to clarify that Stephen. Where is that additional $2 million coming from? Or is that $2 million savings to extracted previously year?
Josh Disbrow: No, we would expect that -- and Ryan, please jump in here, but we would expect that on top of what's generally been realized and start to realize some of that here in this current quarter in March. So that's $2 million kind of on an annualized basis. And that's largely coming out of G&A. So really think of that as a $0.5 million on a quarterly basis, starting in and around this quarter and going up from there. But Ryan, if you have anything to add to that, feel free to jump in.
Ryan Selhorn: Right. Now this is -- basically the result of some of the actions that we've taken this past quarter in the second quarter with some additional headcount from G&A and slimming down some of the contracted services that we have. So that's where we'll start seeing the benefit going forward into Q3 and Q4.
Naz Rahman: Got it. And I guess, if I could ask one last question. On the business development front, could you provide more color on where you are in the process in terms of potential tuck-in or larger acquisition? I guess, like where are you guys in terms of talk? And what have been the gating factors to potentially calling a deal?
Josh Disbrow: Yeah. What I'll say Naz is, in our discussions, I’m pretty excited about some opportunities as we take the next step of some of these parties. I'll caveat that with look, deals take time and they're unpredictable all the way to the 11th hour into signing day, you continue to say they're never done until they’re done. But we are, I would say, in active discussions under CDA and certainly at the point of modeling these opportunities. And what I'll say further to that is we're looking at a cross-section of opportunities across CNS/Psychiatry and in Pediatrics understanding, of course, we touch both areas. We're looking initially and most preferentially opportunities that we think we can secure with small or no upfronts. Those are difficult to sometimes pull off, but we're optimistic that we may be able to do that. We, obviously, are looking at things that we think have good upside, and it will be accretive, of course. That having been said, we're not in a position to take big dollars off the balance sheet to go pay big upfronts, but we want to be open-minded for the right types of opportunities. So we're in active negotiations. So excited about what we have in our sites. I can't say there's anything imminent in terms of any kind of an announcement, but certainly at a point of bringing in internal resources to really start fulsome evaluation of these opportunities. I don't want to put a time line on it. Hard to say exactly when that could happen. But happy to say that I think the environment for types of things we're looking at is improving. And yeah, we're optimistic that maybe we can get something done here.
Naz Rahman: Thanks for taking my questions. And once again, congratulations on the quarter.
Josh Disbrow: Thanks, Naz.
Operator: Thank you. [Operator Instructions]
Robert Blum: Matthew, while we wait to see if there's any further questions. We have just a couple of off-line questions. I think that Naz didn't yet hit on Josh and Ryan, so I'll just bring a couple of these up here. First off, any updates on some of the legal issues that were mentioned on some of the earlier calls?
Josh Disbrow: Yeah. Thanks, Robert. Yeah, I'm happy to say for the first time in a very long time that all of the shareholder litigation that would have started several years ago is now behind us. As was mentioned and footnoted in the 10-Q, both the Witmer class action suit, as well as the Revive Investing case in which Aytu was named as a nominal defendant. They've been resolved, one of which was really settled for some governance changes, which we've discussed in the past and payment of attorney fees, the most recent one, the Revive Investing case went through a jury trial and was found in favor the defendant. And so that case has reached a final verdict pending any appeals, which we don't think is realistic. So happy to say on that front that we're, sort of, finished with all those matters.
Robert Blum: Okay. Great. Ryan, perhaps this one is on your side, and I think Naz touched on it briefly, but maybe just expand on in terms of a go-forward expense level basis. You mentioned the additional $2 million in savings, but maybe expand upon that to extrapolate what sort of the go-forward expense level looks like?
Ryan Selhorn: Yes. Happy to do so. Yes, this will piggyback off Naz’s question. Obviously, our management team is very focused on controlling the future operating expenses, especially those that don't impact the top-line revenue results. We believe we've finally completed a material cost associated with our restructuring and optimization plans. So going forward, I don't anticipate any material additions to the restructuring expense line in our financials as we've had the previous quarters. Additionally, with the final headcount reductions that we made last quarter, I do expect to see additional benefits on our operating expense level in Q3 and Q4. To provide a little bit of perspective, we reduced net headcount by 12 individuals just at the tail end of the second quarter, which will definitely impact the future quarters going forward. Additionally, there's been a few remaining contracts related to our previous pipeline that have been finalized in early Q3. So more savings there as well. So hopefully, that expand on kind of the overall savings. But I'm confident that the third and fourth quarter will kind of demonstrate a true optimized operating expense level that should allow us to grow the top-line results without much incremental costs, especially at the G&A level.
Robert Blum: Okay. Very good. Fantastic, Ryan. Josh, it doesn't appear as though we have any more questions on the live portion of the call. So Josh, I guess, I'll turn it back over to you for any closing remarks.
Josh Disbrow: Great. Thanks, Robert. Thanks, Naz, for your questions, and thanks to everyone for your participation on today's call. Again, as always, and I'll just reiterate, I thank the entire Aytu team for their hard work and all they're doing to help us get in this position to help deliver for patients and for stockholders. Reiterate the fact that I'm very proud of what we have accomplished. Really excited about the future, particularly as some of these opportunities that I loosely referred to continue to, sort of, percolate out there. Thanks again for your participation on the call. We look forward to sharing our results with you next quarter. And until that time, have a good evening, and thank you again.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.